Operator: Good morning, and welcome to the Piper Sandler Companies Fourth Quarter and Full Year 2025 Earnings Conference Call. Today's call is being recorded and will include remarks by Piper Sandler management followed by a question and answer session. I'll begin by turning the call over to Kate Winslow, Please go ahead.
Kate Winslow: Thank you, operator. Good morning, and thank you for joining the Piper Sandler Companies Fourth Quarter and Full Year 2025 Earnings Conference Call. Hosting the call today are Chairman and CEO, Chad Abraham, our President, Debbra Schoneman, and CFO, Katherine Patricia Clune. Earlier this morning, we issued a press release announcing Piper Sandler's fourth quarter and full year 2025 financial results which is available on our website at pipersandler.com/earnings. Today's discussion of the results is complementary to the press release. A replay of this call will also be available at that same website later today. Before we begin, let me remind you that remarks made on today's call may contain forward-looking statements that are not historical or current facts including statements about beliefs and expectations, and involve inherent risks and uncertainties. Factors that could cause actual results to differ materially from those anticipated are identified in the company's reports on file with the SEC which are available on our website at pipersandler.com and on the SEC website at sec.gov. Today's discussion also includes statements regarding certain non-GAAP financial measures that management believes are meaningful when evaluating the company's performance.
Katherine Patricia Clune: The non-GAAP measures should be considered in addition to and not a substitute for measures of financial performance prepared in accordance with GAAP. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measure is provided in our earnings release issued today. I will now turn the call over to Chad.
Chad Abraham: Thank you, Kate. Good morning, everyone. Thank you for joining us. Our business performed well during 2025 driven by strong execution and improving market conditions. We had a strong finish to the year with record adjusted net revenues of $635 million in the fourth quarter, a 27.2% operating margin, and adjusted EPS of $6.88. On a full-year basis, adjusted net revenues were $1.9 billion, achieving a 21.9% operating margin and adjusted EPS of $17.74. There are a number of highlights from 2025. Adjusted net revenues grew 22% with contributions from all businesses, resulting in a 39% increase in adjusted net income compared to 2024. We delivered a record year in advisory, with over $1 billion of revenues representing 55% of total net revenues. We grew our Investment Banking MD headcount to 187 managing directors and meaningfully increased productivity per banker. We completed the acquisition of G2, complementing other key hires to expand and strengthen our technology investment banking practice. We generated record revenues in equity brokerage and recorded our second-best year in both public finance and fixed income brokerage. We returned $239 million to shareholders through share repurchases and dividends. 2025 marks another successful year for Piper Sandler. We have now achieved nine consecutive quarters of year-over-year growth, underscoring our strong execution and sustained momentum. This progress is supported by our ongoing investments in the business, the diversification of our sector and product capabilities, and an improving market backdrop. 2025 also marked our firm's 130th anniversary. The foundation of our success is serving the best interests of clients, employees, shareholders, and the communities where we live and work. I'd like to thank my employee partners for their continued hard work and dedication to providing best-in-class service to our clients. Turning now to corporate investment banking. During the fourth quarter, we generated $469 million of revenues, up meaningfully over the prior year driven by robust M&A activity as well as solid debt capital markets advisory activity. For the year, Corporate Investment Banking revenues totaled $1.3 billion, representing a 28% increase from the prior year. Sector contributions were diverse, as five out of seven industry teams grew revenues versus 2024. Within corporate investment banking, advisory revenues for the quarter were $403 million, up 44% year-over-year. Our Financial Services and Services and Industrial teams led sector performance. For the year, advisory services generated $1 billion in revenues, up 28% from 2024 and exceeded our previous high watermark from 2021. This reflected a strong relative performance compared to a 7% growth rate in overall M&A activity in the middle market. During 2025, we completed 135 advisory transactions, 16% more than the prior year and earned higher average fees. Advisory revenues from both corporate and sponsor clients were up meaningfully year-over-year. We were ranked as the number two adviser based on the number of announced U.S. M&A deals under $1 billion. In addition, non-M&A advisory generated another record year and increasingly constitutes a meaningful amount of our total advisory revenues. Industry team contributions were led by financial services followed by a record year from Services and Industrials and solid contributions from our healthcare, energy, power and infrastructure, consumer sectors. Our performance within financial services was led by depositories, where a more accommodating regulatory environment bolstered a resurgence in bank M&A activity. We were the number one adviser in U.S. Bank M&A based on the number of announced transactions during 2025. Additionally, we saw solid contributions from our insurance, asset management, and specialty finance subsectors. Record performance from our services and industrials team in 2025 was driven by larger transactions generating higher average fees. These results reflect investments we've made in this sector developing and recruiting exceptional bankers with deep client relationships particularly with the financial sponsors community. In addition, our non-M&A advisory teams have been a key driver of performance. In recent years, we have made substantial investments in these capabilities to expand client offerings and increase market share, especially with private equity. The most meaningful components of our non-M&A advisory revenues are debt capital markets advisory, private capital advisory, and restructuring. Non-M&A revenues have outpaced the growth of our M&A revenues for several years and exceeded 25% of total advisory revenues in 2025. Our debt capital markets advisory business has been a significant contributor to this growth as it recorded its third consecutive year of record revenues, benefiting from higher average fees as well as a broader and more diversified client base. We also have significant opportunities within our private capital advisory group to leverage our sponsor relationships and sector expertise to further grow market share. Looking ahead, while several larger advisory transactions closed in the last week of 2025, our pipeline of engagement mandates is building, and we expect to see another strong year of advisory revenue in 2026. Corporate financing markets were solid throughout the quarter, and we generated $67 million of revenues. We completed 31 financings, raising $15 billion for corporate clients, with activity centered in healthcare and depository sectors. For the year, corporate financing revenues of $217 million increased 25% from 2024 driven by a strong second half of the year. During 2025, we completed 122 equity debt and preferred financings raising $48 billion for corporate clients. Sector contributions for the year were again led by our healthcare team, which served as book runner on 37 of the 38 equity deals they priced during 2025. And we participated in all six MedTech IPOs that priced in the market. Our financial services team also contributed a strong underwriting performance in 2025, pricing 65 transactions that raised $19 billion in capital for our clients. As we look ahead, January financing activity has been strong. Our pipeline of new issues is healthy, and we are seeing strong demand from institutional investors looking to deploy capital across sectors. Shifting to talent. We finished the year with 187 investment banking managing directors. While our net MD headcount increased modestly from 2024 levels, we strengthened our talent base and improved productivity helping to drive profitability in the business. Over the last ten years, we have grown MD headcount at a 10% CAGR. We're consistently looking for talented partners who strengthen the platform and position us for growth in our product and sector teams, expand our geographic reach, or add additional capabilities to support our clients. Overall, our 2025 results were strong. And we're pleased with our performance. The combination of improved activity levels, strong execution across business lines, and a constructive market environment resulted in excellent financial returns. We've entered 2026 with good momentum, strong client engagement, and an accommodative regulatory environment and meaningful opportunities to gain share. Before handing it off to Deb, I'd like to highlight a recent leadership announcement. In January, we named J.P. Peltier as co-head of investment banking and capital markets. JP will co-head the group alongside Mike Dillehunt and James Baker, who have served together as global heads of investment banking and capital markets since 2021. JP is a 25-year veteran of Piper Sandler, an exceptional banker, and growth-oriented team builder. He recently served as co-head of the healthcare investment banking group where his leadership helped build a market-leading franchise. I'm confident that JP, Mike, and James will successfully lead our corporate investment banking business to accomplish the medium-term goal of growing annual revenues to $2 billion plus in the coming years. With that, I will turn the call over to Deb to discuss our public finance and brokerage business.
Debbra Schoneman: Thanks, Chad. I'll begin with an update on our public finance business, where market conditions remained favorable with record issuance levels driven by funding needs for infrastructure upgrades, and strong investor demand. We generated $39 million of municipal financing revenues for the quarter, flat sequentially and down 5% compared to the strong prior year quarter. For 2025, we generated $146 million of municipal financing revenues, our second strongest year on record. These results reflect the diversification of our business and strong relative performance. Our revenues increased 19% over last year, exceeding the municipal negotiated market issuance growth of 12%. We underwrote 555 negotiated transactions during 2025 raising $19 billion of par value for our clients. Additionally, we maintained our position as the number two underwriter based on the number of transactions. Activity was solid across both our governmental and specialty businesses reflective of our client and geographic reach. Performance was broad-based with strong results in Texas, California, Oregon, and the Midwest, as well as our special district healthcare and hospitality sectors. In addition to revenue growth, we focused on local market relationships and knowledge to strengthen our market leadership in our core sectors. Our special district team has 50% market share in the states in which they compete, and we ranked number two nationally in K-12 education by number of issues and par amount. In terms of outlook for 2026, we anticipate public finance market conditions to remain favorable with similar issuance volumes to 2025 albeit back to the more normalized seasonality. Our equity brokerage business finished 2025 at record highs, following a year with strong volumes and volatility. Fourth quarter 2025 equity brokerage revenues of $64 million, a quarterly record, led to record revenues of $230 million for the full year. These results demonstrate successful collaboration and the integration of products and investments across our platform. The strength of our platform attracted approximately 1,700 unique clients, and we traded 11 billion shares on their behalf in 2025. As we look forward to 2026, we expect our equity brokerage revenues to be similar to 2025. And last, we generated $48 million fixed income revenues for the fourth quarter down from both a strong third quarter and year-ago period. For 2025, we generated $203 million of fixed income revenues, up 9% from the prior year. Driven by robust activity with our depository clients. The increase in bank M&A activity during the year along with depository clients adjusting to the changing rate environment, provided more opportunities to advise on balance sheet repositioning. We also experienced healthy growth across other client verticals including asset managers and public entities. From a product perspective, both municipal and taxable fixed income showed significant growth year-over-year. We continued to elevate the platform by investing in talent that expands our product expertise and enhances client relationships, allowing us to provide differentiated advice. In our municipal franchise, we have established ourselves as a trusted advisor with a specialized sales force able to find liquidity for our institutional clients. In the taxable space, we have expanded our expertise in structured products, experienced talent, and leadership. As we look to 2026, we expect clients to be more active in anticipation of further rate cuts and anticipate additional work stemming from a robust M&A environment. Now, I will turn the call over to Kate to review our financial results and provide an update on capital use.
Katherine Patricia Clune: Thanks, Deb. My comments will address our adjusted non-GAAP financial results which should be considered in addition to and not a substitute for the corresponding GAAP financial measures. For the 2025, we generated net revenues of $635 million, operating income of $172 million, and an operating margin of 27.2%. Net income totaled $123 million and diluted EPS was $6.88. For 2025, net revenues totaled $1.9 billion, operating income was $411 million, and our operating margin was 21.9%. We generated $318 million of net income, and $17.74 of diluted EPS. Net revenues for the 2025 increased 39% from the sequential quarter and grew 27% over the fourth quarter of last year. This growth was driven by robust advisory revenues, the second strongest quarter on record. For the year, net revenues increased 22% compared to 2024, powered by a 28% growth in advisory revenues as well as strong performance across the rest of our businesses. Turning to expenses. We reported a compensation ratio of 60.1% for the 2025 and 61.4% for the full year. Both ratios improved from the comparable periods of 2024 driven by increased net revenues and continued operating discipline. We continue to drive leverage where possible while balancing employee retention and strategic investment opportunities. We expect our 2026 compensation ratio to be similar to 2025. For the 2025, non-compensation expenses excluding reimbursed deal costs, were $67 million. Including reimbursed deal expenses, non-compensation costs were $81 million or 12.7% of net revenues. This ratio improved 440 basis points from the third quarter, and 270 basis points from the fourth quarter of last year. Non-compensation costs for 2025 excluding reimbursed deal expenses, were $271 million. An increase of 8% compared to last year. The increase in expenses was driven by three factors: increased business activity, relocating our Minneapolis headquarters office, and investments in the business, including technology and related consulting fees. Including reimbursed deal costs, non-compensation expenses were $315 million for the year and our non-compensation ratio was 16.7%. An improvement of 160 basis points versus 2024. Looking ahead to 2026, we anticipate a modest increase to non-compensation expenses, with the most notable driver being the relocation of our New York office. Our diligent management of the fixed controllable costs, continues to be a key driver of leverage. Going forward, we expect our full-year non-compensation expense ratio to be similar to the 2025 level with some variability across quarters depending on the timing of expenses. Moving to income tax expense. Our income tax rate for the fourth quarter was 28.5%. For the year, income tax expense was reduced by $30 million of tax benefits related to the vesting of restricted stock awards. Which resulted in an income tax rate of 22.6%. Excluding the $30 million benefits, our effective tax rate was 29.8% for 2025. We continue to expect our full-year tax rate to be around 30% excluding the impact from the vesting of restricted stock awards. Now finishing with capital. During the quarter, we returned an aggregate of $35 million of capital to our shareholders through stock repurchases and quarterly dividends paid. In 2025, we returned an aggregate $239 million to shareholders, which includes: repurchases of approximately 421,000 shares of our common stock or $125 million related to employee tax withholding on the vesting of restricted stock awards as well as in the open market. These repurchases offset the share count dilution for this year's annual grant. It also includes an aggregate of $114 million or $5.7 per share in dividends paid to shareholders during 2025 through our quarterly and special cash dividends. Given our level of earnings, today the Board approved a special cash dividend of $5 per share related to our full-year 2025 results. Including this special cash dividend and our quarterly dividends paid, our total dividend for 2025 equals $7.7 per share common stock, or a payout ratio of 43% of adjusted net income. In addition, the Board approved a quarterly cash dividend of $0.70 per share. Both the special and the quarterly cash dividends will be paid on March 13, to shareholders of record as of the close of business on March 3. Lastly, as part of our ongoing commitment to delivering shareholder value, I'm pleased to announce that the Board has approved a four-for-one forward split of our common stock to increase liquidity, and help make our stock more acceptable to a wider range of investors. The split will be accompanied by a proportionate increase in the number of shares of our authorized common stock. Our common stock will begin trading on a split-adjusted basis at the start of trading on March 24, 2026. 2025 marked another successful year for Piper Sandler. We grew revenues and profitability while furthering the strategic expansion of our businesses. Looking ahead, we remain focused on executing on our strategic priorities, to drive continued growth and strong returns for our shareholders. With that, we can open up the call for questions.
Operator: Thank you. If you'd like to ask a question, please signal. If you are using a speakerphone, please make sure your mute function is turned off till buyers signal to reach our equipment. Again, press star 1 to ask a question. We'll pause for just a moment to allow everyone an opportunity to signal for questions. We'll take our first question from Devin Ryan with Citizens Bank.
Devin Ryan: Great. Good morning, everyone. How are you? Hi, Devin. Hey. I want to start on the advisory business. Obviously, I think terrific results on the year. Revenues up 28% even though we had quite a bit of volatility earlier in the year and then sponsors, seem like they're they're just starting to to really come back and reengage in a more meaningful and at the same time, your bank M&A is really picking up. So be great to just maybe talk through kind of those two components, like, how much more activity you're seeing with sponsored clients today relative to maybe six months ago? And then the other piece we get, you know, questions from investors around is, like, order of magnitude in a more functioning bank consolidation backdrop. Like, how much incremental revenue could that be for Piper relative to maybe what you were doing previously? I know they're couple $100 million on top, or or just any ways to kinda think that piece through? Thanks.
Chad Abraham: Yeah. Thanks, Devin. Yeah. Maybe just to step back relative to the 28% growth, you know, 2024, you know, was a pretty good year for us, but on relative performance, you know, we were a little probably off where we wanted to be in in financial services and healthcare. Obviously, if those are your two biggest businesses, you know, that has a big impact. They both those teams had very good years in in 2025, which know, given our concentration in those sectors, that, you know, leads to outperformance when that happens. Would say relative to the sponsor business, I do think we outperformed. I think it's been frankly, a pretty good market for a good six months here relative to deals we're getting done, deals we we're getting closed. And I think that's really just emphasized by probably the team that had you know, like, the the biggest year, not in total revenues, but just in sort of step functions was our diversified services and industrials team, which is pretty much entirely a private equity sponsor business. And then relative to bank M&A, you know, obviously, that was a big contributor for us both in M&A, starting to refinance the balance sheets, We see that a continued pace. There's obviously a big deal recently announced, but I I always do have to sort to sort of stress you know, it's part of our advisory business, which is part of the total, and depositories is only half of our financial services. So while it's a while it's important, it's a big part of the business. It's hard for just depository to move the top line in in any meaningful meaningful way.
Devin Ryan: Got it. Thanks, Chad. Appreciate it. And then just a follow-up on, it's kind of capital allocation, but also kind of M&A opportunities for the firm. You obviously generating a lot of capital right now. Potentially accelerating. Can you talk about potentially appetite to, I guess, one, buy back more stock in this environment, particularly with the stock being more liquid and creating more capital. the years on the M&A side. You've been able to And then two, as an outlet, you've been very active do some really nice tuck ins. What are you seeing on that front right now? And is that another kind of good use of capital? And could we potentially see some bigger deals in 2026? Just curious kind of how that fits in as you're thinking about capital allocation into 2026?
Chad Abraham: Yes. And I would say relative capital, I think for the last few years, we've been pretty consistent. We we sorta need all the tools in the toolbox with the sorta cash we're generating and sort of not not much of a need for on on new capital sort of besides investing in growth. And acquisitions. You know, obviously, it's sort of in this order. We're always focused on the quarterly dividend. I do think as our liquidity is improved as many of these acquisitions have matured, it's it's also helped our float obviously, with the stock split. So I think there'll be a chance for us to probably lean into the buyback a little more than we have in the past just because we've always been conscious of of that float. But I would say we we really need all of those tools. And then, you know, number one is just we've delivered great returns in terms of the and deals. We've done And I think we're in a really good environment for that from the perspective of we're doing really well, we've added a lot of products. I think the platforms appealing. But also, some of these relationships we build over a few years and the time to transact those transactions, you know, while sometimes partners have to transact when things are tougher, they don't really choose to do that either. And so now that some of the boutiques and sectors we're seeing are seeing a bit of a recovery, think there's a lot more interest on the sell side. So I'm pretty optimistic about the pipeline there.
Devin Ryan: Okay. Sounds good. Thank you very much. I'll hop back in the queue. Appreciate it.
Operator: We'll go next to James Yaro with Goldman Sachs.
James Yaro: Good morning, and thanks for taking the questions. Chad, you've had a lot of success adding new businesses in in for example, non-M&A advisory. And that's been a combination of organic and inorganic growth. As Are there any other businesses you're looking at and that you're interested in potentially exploring or expanding into? And, would you have to use the inorganic route to to get into those businesses?
Chad Abraham: Yeah. I I think you're obviously mostly talking about products we've added, I would say, of certain products ebb and flow and then there's more and more interest. I would say right now relative to the product side, we've added quite a bit in terms of the last five years, restructuring, private capital advisory, obviously longer than that ten plus years ago, we added debt capital advisory. I think we're mostly focused right now on we've got a lot of runway in those products and sort of the collaboration. We've, you know, we've recently done some analysis in some of those products in terms of how many of our bankers have used the various products in and there's there's just still a lot of upside there. So I think we're we're pretty focused on continuing you know, that that penetration. But in some of our other businesses, obviously in equities, we added some of the private stock trading. So I always think we're evaluating that the bigger, stronger, the the platform gets, you know, the those opportunities become available.
James Yaro: Okay. Great. So you delivered quite healthy corporate financing results this quarter. But the equity markets are clearly struggling. Could you help us think through the puts and takes on the equity capital markets backdrop from here?
Chad Abraham: Yes. No. And I've been doing this a long time, so I'm always reminded how quick and humbling the equity capital markets can be to to your financing business. For us, the big key is just to be diversified across those sectors. Obviously, healthcare is a big part of our equity capital markets. I would say relative to the recent sell-off, healthcare has performed quite a bit better. You know, this is obviously what we're in now is really led by a tech and software sell-off. So I I you know, obviously, those financings are gonna be impacted and and, you know, I don't know if you say we're one week or two weeks or three weeks into this, but we're we're pretty into it. But I've seen enough markets where it only takes a couple weeks and then it impacts the whole market and then accounts sort of shut down on on new issues. But we had a a a very good January for ECM. But I think you're you're right to say we we just don't spend a lot of time trying to predict more than a few weeks out what the the market environment's gonna be for new financings and ECM.
James Yaro: That's really clear. Thanks a lot.
Operator: We'll go next to Brendan O'Brien with Wolfe Research.
Brendan O'Brien: I guess to start, I just wanted to touch on sponsors. And get a sense as to how you would characterize the conversations that you're having with your sponsored clients at the moment and just specifically, you know, whether there's been any notable shifts the tenor of these discussions following the recent moves in equity markets that might further delay the acceleration in activity that everybody is hoping for in 2026?
Chad Abraham: Yeah. And and I feel I feel like I've been reasonably on this. I mean, for us, it's it's you know, the last couple years have just been a steady march of, you know, improvement, sort of nothing gangbusters, but more and more sponsors, you know, trying to get liquidity on their one or two top things. I think, you know, we we had a really good kinda last summer, fall sort of pitch calendar, which, obviously, led to a really good end of the year and, you know, end some of that trickles in. But I would also say just relative to market conditions, unlike ECM, the sponsor of the A markets like turning the the Titanic. It it turns slow. We've been on that sort of slow improvement. And sort of weekly jolts to, you know, interest rates or what's going on in the equity capital markets doesn't usually impact that. So I feel like we're just still getting slow, steady improvement and know, that's really coming across in lots of products, you know, not just our sponsor M&A business, but we had a record year in our debt capital advisory business, and that's a heavy sponsor business. And, you know, we we've added resources sort of in our private capital advisory business and the continuation vehicles, and while we saw some success kind of in our first full year last year. You know, we're we're we're now really positioned in that business. For 2026.
Brendan O'Brien: Great. That's a excellent segue to my follow-up question, which is on your debt capital advisory and PCA businesses. Comments on the strong growth over the last couple of years definitely caught my attention. But just given the constructive outlook for M&A, I just wanted to get a sense to whether you think these businesses can keep continue to keep pace with the growth in your M&A platform, and what do you see that growth potential, for the PCA and debt capital markets advisory business in particular?
Chad Abraham: Yes. I mean, we've this is the first time we've sort of disclosed what that mix of business on an annual basis is just to give people a flavor of sort of the size and scale for the last several years it has outpaced. Now some of that has been we're also adding adding products, and there's, you know, a lot of runway in PCA. I think, you know, part part of why we disclosed that is is, you know, that provides some diversification from various M&A markets. Honestly, do I think, you know, my my guess is that over time it continues to outpace the M&A market. But in a very strong M&A market, I'd be super happy if M&A outpaced that business. So some puts and takes. I think we're just trying to make the point that that many of those products have become a scaled, and frankly a lot of them line up with the M&A business. Many times, the debt capital advisory business is is tied to a M&A transaction.
Brendan O'Brien: Great. Thank you for taking my questions.
Operator: Go next to Daniel Cucchiara with Bank of America.
Daniel Cucchiara: Hi. Good morning. Your 2026 was just dominated by the large cap M&A. I was just hoping you could give us a current mark to market on deals under $1 billion. And if you've seen any momentum in this cohort towards the 2025? And if the momentum is kind of carried over into the first month '26. Thank you.
Chad Abraham: Yes. I would say, I mean, obviously, we get that question. People they just look at M&A volume, total volume, and sort of forget that sometimes that's driven by whatever the top five, six, 10 transactions, especially if there is some large ones. So, yeah, we're we're much more focused on volume in the middle market. I think in our release, we talked about some of the data we had that that grew high single digits. Obviously, with our advisory business, we outpaced that I do feel like the M&A market in that sort of middle market range, which for, you know, a lot of for a lot of our stuff, you know, north of 50% is is sponsor based. I do feel like we think that, you know, accelerated in the back half of the year. You know? But but we'll have to watch that mix. That mix is is very important to us. I mean, get our fair share of large transactions, but the vast majority of our volume is in that middle market.
Operator: We'll go next to Mike Grondahl with Northland Securities.
Mike Grondahl: Hey. Congrats. On a on a very strong finish to the year. And on that note, Chad, could you just talk a little bit about the pipeline or backlog on the advisory side? And I think you mentioned a couple larger transactions happened near year end. How does that affect your thinking about like first half 2026 versus second half 2026? Just trying to think through the cadence as we kind of get into '26 here.
Chad Abraham: Yes. I mean that is a funny, I've been doing this a long time. Sometimes, we're always lining up the planes for last couple of weeks. And some years, we land most of them and some some years, we have a handful that slip. I mean, I think we made the comment, we we landed a lot in the last week of December. So that obviously always has a bit of an impact on January. You know, January is never a huge month for new announcements, so it's sort of always hard to tell, but would say our backlogs are good. Our seasonality is fairly typical. You know, Q1 is always our toughest quarter to predict. So we'll have to see that seasonality.
Mike Grondahl: Got it. And and then Deb, on the municipal side, and sort of trading side, how are you feeling about the environment and just sort of you know, approaching priorities for '26.
Debbra Schoneman: Yeah. So if I take that broadly across municipals from our financing standpoint, we continue to see and feel like the market will remain solid here, similar trends to what was coming out of 'twenty five. I mean, part of that is we need to look at both the supply and demand side of that equation. So rates definitely matter there. I mean, to the extent we see rates coming down, it could burst more refinancing opportunities, which just haven't been there yet. We also just continue to watch the fund flows as those continue to be again, solid, watching that particularly in high yield, that's going to help support the municipal financing business. On the trading side, I would say holistically, this is true for municipals as well as taxable products as spreads are really tight and so it's just causing a little bit of a pause for investors as they, you know, look to see what might happen there and a little nervous to step in too strongly because of that. So watching spreads on the fixed income is going be an important part for you to try to see what's happening with our business. And and I guess the other thing I would just say relative to twenty six, is as we see bank M&A improved here in '25. We saw the repositioning of balance sheet that we're able to do as part of that. You know, continue, and that's something we see going into 2026 as being likely to continue to be strong along with the bank M&A environment.
Mike Grondahl: Great. Hey. Thanks a lot, and good luck in '26.
Chad Abraham: Thanks. Bye.
Operator: At this time, there are no further questions. I'd like to turn the call back to Chad for any additional or closing remarks.
Chad Abraham: Okay. Thank you, operator, and thanks, everyone, that joined us this morning. We look forward to updating you on our first quarter results in a few months. Have a great day.
Operator: This does conclude today's conference. We thank you for your participation.